Operator: Greetings. Welcome to Inter Parfums 2024 Second Quarter Earnings Call and Webcast. [Operator Instructions]. As a reminder, this conference is being recorded. At this time, I would like to turn the call over to Karin Daly, Vice President at the Equity Group and Inter Parfums Investor Relations Representative. Thank you. You may begin.
Karin Daly: Thank you, Sherri, and good morning, everyone. Joining us on the call today will be Chairman and Chief Executive Officer, Jean Madar; and Chief Financial Officer, Michel Atwood. On behalf of the company, I would like to note that this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors may be found in the company's filings with the Securities and Exchange Commission under the heading Forward-Looking Statements and Risk Factors in its most recent Annual Report on Form 10-K. Forward-looking statements speak only as of the date on which they are made, and Inter Parfums undertakes no obligation to update the information discussed. As a reminder, consolidated results reflect the company's two business segments. European-based operations through their 72% owned French subsidiary, headquartered in Paris, Inter Parfums SA and United States-based operations through their wholly-owned subsidiaries headquartered in New York. It's now my pleasure to turn the call over to Jean Madar. Jean, you may begin.
Jean Madar: Thank you, Karin. Good morning, everyone, and thank you for joining today's call. The fragrance market continues to grow, but at a more modest pace than the rapid acceleration that followed the peak of the pandemic. We achieved record second quarter sales of $342 million, which comes as no surprise, as we are spacing our launches to minimize potential cannibalization within our portfolio and investing more time and money back into our industry and brands through our advertising and promotion structure. Our method is well-balanced as we are working with top-tier brand ambassadors and influencers in addition to traditional media, including print, targeted ads and product reviewers. Luxury fragrances are highly valued and sought after by younger generations, often influenced by celebrities in entertainment and sport with greater attention to superior ingredients. On the subject of celebrity and ambassadors, we have engaged award-winning singer and songwriter John Legend as the face of the Montblanc Legend fragrance line couldn't find a better ambassador. John Legend will front all five fragrances in the Hero collection and will remain on Board for at least the next extension in January 2026. John Legend representing the Legend franchise, it doesn't get better than that. Jimmy Choo named Chinese actress and singer, Victoria Song as its global brand ambassador and the face of the brand, I Want You fragrance line. Victoria has been the face of the Jimmy Choo brand since 2018. And now, as the brand's fragrance line model will benefit from a significant following an impressive presence on global social commerce platforms. And finally, Coach has expanded its partnership with Boston Celtics for Jayson Tatum, as we will now be the newest face of the Coach for Men's Fragrance line, following the Celtics Championship win; Tatum also joined team USA in the 2024 Olympics. Tatum automatically and inspirationally embodies the brand image and empowers the courage to be a real story in celebration of self-expression. Moving on, first half sales in our largest market, North America rose by 5% with strong momentum across all channels. Retail sellout is performing exceptionally well and online channel growth is continuing. Western Europe and Asia-Pacific followed where comparable half year sales increased 11% for Western Europe and 6% for Asia. Central and South America sales growth was exceptional at 26%, thanks in great part to Lacoste, fragrance sales, while our sales in the Middle East and Africa rose by 8%. Additionally, the travel retail business continued to surge after seeing an increase in both leisure and business travel earlier this year. To-date, travel retail increased 20% from the prior year period, representing 8% of net sales. Longer-term, we target approximately 10% of net sales to be from travel retail on an annual basis. While our business is down in Eastern Europe in the first half due to sourcing constraints from the first quarter, there have been recent signs of improvement and the second quarter was broadly in line with the prior year period. Furthermore, our business is purposely and gradually shifting towards retailers particularly in France, Italy and the U.S., where we can achieve higher levels of gross margin. We are simultaneously affording heavy investments in our vast team of distributors as they are key contributors to our business. As part of our strategy, we plan to continue to make investments behind growing markets and channels to increase our market share, including specialty store Sephora and Ulta, retailers like Macy's, Saks Fifth Avenue and Nordstrom and of course, e-commerce through Amazon. Our Italian affiliate is performing favorably serving as a distribution hub for all of the brands in our portfolio, particularly with the addition of direct European distribution through Amazon. Online sales had a competing start, not only in Italy but also in France, in Germany and in Spain. We are leveraging our successful U.S.-based e-commerce experience to rollout winning Amazon strategy to capture sales across the rest of Europe. Our newest brand, Roberto Cavalli and Lacoste are doing well and exceeding the pace of growth we targeted. While the first half of 2024 was primarily related to supplying our fragment products to the market, we expect the brand to scale even further in the second half and into 2025. While we are, and will remain primarily licensed fragrance business, we are also in the advanced stages of the development of our own luxury fragrance collection through our French subsidiary, Inter Parfums S.A. named Solférino Paris. This fragrance assortment will honor and celebrate Paris in the French Art de vivre with a planned launch in 2025, the collection of 10 fragrances is being created by master perfumers and will be supported by upscale merchandising and a highly selective exclusive distribution. Looking at the balance of the year, we have a number of brand expansions planned, including a new fragrance duo from Karl Lagerfeld, an extension of Moncler and two new fragrance within the Van Cleef & Arpels Collection Extraordinaire. For Lacoste, we soft launched a men's blockbuster fragrance called Original in Paris in June and since, we expanded internationally. This fragrance is a tribute to the 1984 fragrance of the same name marking the first collaboration between Lacoste and Interparfums. Additionally, we will introduce [indiscernible] wild wonder collection. We will also induce a new collection for MCM and also new extensions for Hollister and new line of payments for debt and also Roberto Cavalli signature. We recently unveiled the new DKNY blockbuster fragrance called DKNY 24/7 that launched in select markets at the end of the second quarter and will undergo full scale distribution next month. As we announced, the discussions have been underway in 2023, with a view to renewing the license agreement with Van Cleef & Arpels. We have been managing the fragrance brand since 2006, and appreciate the vote of confidence the brand owner Richemont has placed in us through the nine-year extension of our partnership. The new agreement will tighten the selective distribution of Van Cleef & Arpels worldwide and with special and limited edition extension play into the ultra-luxury category. The fragrance market is continuing on the path of mid-single-digit growth and here at Inter Parfums, we are well prepared and aiming to surface -- to surpass the pace of the market. We are committed to our retailers, distributors, brands, and consumers and we will continue to serve their fragrance appetite with a well-balanced pipeline of new product launches across our prestige portfolio. I will now turn the call over to Michel for a more detailed financial review.
Michel Atwood: Thank you, Jean, and good morning, everyone. Since we reported a record second quarter sales last month, I will focus on profitability, which was a second quarter record as well with net income of $37 million and $1.14 per share diluted share. On a consolidated basis, gross margin expanded by 360 basis points for the current quarter and 50 basis points for the first half. The gross margin expansion in the second quarter was driven by our European-based operations where gross margin improved by 570 basis points due in part by favorable segment geographic and channel mix as well as the one-time inventory reserve made in the prior year. Excluding the inventory reserve in the base, gross margin expanded by 250 basis points in the second quarter, partially offsetting the unfavorable mix we saw in the first quarter. On a consolidated basis, we expect 2024 gross margins to be broadly in line with 2023, which, if you recall was just under 64%. Our teams have been working on executing our A&P strategy to support our established brands and maintain the momentum of our two new brands. Our A&P spending aggregated 19.4% and 17.2% of net sales in the second quarter and the first half of 2024 compared to 17.6% and 14.5% for the corresponding period in the prior year. Now that we are balancing our A&P expense throughout the year, we will continue to work towards our target A&P spend of 21% of net sales. We fell short of 21% in the past few years because of higher-than-expected sales. We are building brand awareness to support sustainable future growth, and we are already seeing the benefits of our A&P strategy on our results. Also included in SG&A expenses Royalty expense represented just under 8% of net sales in the quarter and the amortization of the cost of the Lacoste license, which amounted to $3.2 million during the first half of 2024 will continue over the 15-year life of the contract. These items together amounted to higher levels of SG&A expense as expected for both the second quarter and the first half of 2024, representing 45.6% and 43.6% of net sales, compared to 43.1% and 39.6% of net sales in the prior year periods, respectively. For these reasons, our second quarter operating margin was 18.9%, both in line with our expectations and a continuation of a return to a more normalized level compared to post pandemic-related surges. As we reported yesterday, below the operating line, first half net income was depressed by $1.5 million in other expenses versus a $2.8 million gain in other income in the first years -- in last year's first half. The main driver of this swing stems from the one-time realized gain of $3.1 million recognized in 2023 related to the sale of marketable securities compared to an unrealized loss of $600,000 in 2024. From a cash flow perspective, accounts receivable is up 24% from year-end 2023. The balance is reasonable based on the record second quarter sales levels and the seasonality of the business. Days sales outstanding was 72 days, slightly down from 73 days at the end of 2024 first quarter. Our inventory levels at mid-year increased 19% from year-end 2023 in support of our overall sales growth seasonality as well as the inventory buildup required by the inclusion Lacoste and Roberto Cavalli licenses to support the launches of these brands. We continue to actively work on programs to deliver more inventory efficiency without compromising on business growth and service levels and are targeting to maintain inventory dollars in line with prior year by December 2024. We closed the quarter with a healthy balance sheet with working capital of $525 million, including $77 million in cash and cash equivalents and short-term investments. Our long-term debt, including current maturities was $137 million at the end of the second quarter. Once again, we are reaffirming our 2024 guidance of net sales of $1.45 billion implying mid-teen growth in the second half of this year. This results in earnings per diluted share of $5.15, which sets a new record for our company. It took four years for Inter Parfums to hit $1 billion in sales. And in just two years, we are nearly halfway to our second billion. While we are observing some slowdown in the global fragrance market remains healthy, and we believe that the tailwinds continue to outweigh the headwinds in our business and across the industry. However, some of the trade destocking we have observed in the first half, coupled with the ongoing conflict in Eastern Europe, encourage us to remain prudent with our full year outlook. With that, operator, please open the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question is from Oliver Chen with TD Cowen. Please proceed.
Oliver Chen: Hi, Jean Madar and Michel, thanks for your time, and congrats on great results. Jean Madar, on the own brand opportunity, what do you see ahead for that? It sounds pretty exciting, and you have a lot of capabilities. What may happen longer-term? Also, as we look at Asia-Pacific, it's been a tougher macro environment in China, and there are a lot of concerns, which are outside of your control with the economic situation. Just would love your thoughts on what you're seeing with that customer and your travel retail momentum continues to be really strong. And Michel, one for you. You called out trade destocking and some slowdown. What channels or geographies are you most concerned about as you highlighted that. Thank you.
Jean Madar: So regarding our own brand, we have been preparing this line for over a year-and-a-half, and we'll be launching it next year. It's cost very low. It's really to go after the niche market. We saw that definitely there was a premiumization in the fragrance business. So we wanted to have more product over $100 or even $150, so this is a line of 10 products, not under license. We created from scratch called Solférino. I think we'll launch in a very limited amount of stores. We select some anchor stores in Europe, in the U.S. and of course, in Asia. We did some testing on the juices. We are quite confident. So it will be small to begin with because the distribution will be small, but we have to be present in this niche expensive product. As you know, we have some experience on the expensive fragrance because we have been doing very well with Van Cleef. The trial also the license was recently renewed. So we have a lot of knowledge and experience, and we want to apply it on this new line. Regarding what we see in -- I think your second part of the question is about Asia and travel retail, right?
Oliver Chen: Yes, in China as well. Thank you.
Michel Atwood: In China.
Jean Madar: Okay. So our sales in China for the first three months or six months are not bad. I think we're up. Michel, correct me if I'm wrong, I think we're up 20%. But again, it's a misleading number because it was an easy comparison; the sales were down last year. So we continue to see some lack of activity in China, either in the platform where we sell our fragrance because, as you know, 70% of the business is on the e-commerce platform. But even at Sephora where we are present with a lot of our brands, it is slow. Regarding Henan, we do not -- we have not seen yet improvement. But we know that China can change quickly. So we are prepared for next year for under the MCM line a full collection that will be dialed for Asian customer and, of course, Chinese customer. In general, travel retail is bright. Our business is increasing. I think it increased the last quarter by 20%. We have some brands that have good exposure, brands that are -- that could have a better exposure. But our team are working towards this 10% goal, we would like to have 10% of our sales done in travel retail. We are not here yet. I think we're in the 7% or 8% more 7%, yes. So we still have room to grow. That's on my side. Michel?
Michel Atwood: Yes. So Oliver, I mean if you look at the first quarter, really, we're seeing a significant destocking. The situation has improved in the second quarter, and we are starting to see sales kind of catch-up. But if you look at the U.S., for example, we're -- NPD sales are growing, our NPD sales are growing around 6% to 7%, whereas our sell-in was more around 5%. So we do see a small a small gap there. And there are a few markets also in Europe, I'd say, particularly like the UK, where the market is doing very well. Market is up about 10%. But our distributor probably bought a little bit more inventory last year, expecting that market to pick up and so they're seeing some destocking as well there from the trade. So those are some of the markets where we're seeing this. I'd say a few European markets as well as the U.S. But it is definitely getting better. And what we're seeing is in July, the orders have really, really picked up, and we had a very, very strong month of July as we start to sell-in our gift sets for holiday season.
Jean Madar: I think we had, correct me if I'm wrong, I think we had a record July, right?
Michel Atwood: Yes, I think so. Yes. I mean we're still -- yes, we're still closing the books for July, but yes, we should be very close to record, not higher.
Jean Madar: Yes. So we see some strength in the market. A lot of stores are reordering, so we are optimistic for the second half.
Oliver Chen: One quick follow-up, very helpful. The gross margins were also impressive. Michel, what -- how has the relative contribution between segment geographic and channel mix. Any details you can provide as we model that going forward? Thank you. Thanks very much.
Michel Atwood: Yes, thank you. So really, the big driver of this quarter improvement is really the excess and obsolescence reserve we booked last year in the second quarter related to the Moncler. As you know that the first initial launch wasn't a success and because it was plan during COVID, we probably bought more inventory than we ultimately ended up needing. So there was a $6.2 million excess and obsolescence reserve in the second quarter. So that is obviously distorting the base. If you exclude that, we're essentially the margins have expanded by about 1.5 points. And that is really the channel mix that -- a piece of that is the channel mix that we saw in the first quarter that was driving margins -- gross margins down, we've seen the offsetting impact. Our business is actually really a combination of two businesses. We have the direct to retail, which we do in France, Italy and the U.S. And we have the rest of the world where we sell to distributors, and there can be a pretty sizable gross margin difference between the two. And so what we're seeing really is the growth is happening outside of those core markets, largely driven by Lacoste because Lacoste is not present in the U.S. for the time being. So hopefully, that addresses the point.
Oliver Chen: Yes. Very helpful. Thanks regards.
Michel Atwood: Yes.
Jean Madar: Thank you.
Operator: Our next question is from Linda Bolton-Weiser with D.A. Davidson. Please proceed.
Jean Madar: Hello, Linda.
Linda Bolton-Weiser: Yes. Hello. Hi. So I was just wondering if you could comment a little more on the relationship with Richemont and the Van Cleef renewal. I thought you said tighter distribution would be for the future. Do you mean tighter less or broader distribution? And also can you explain just -- can you also explain why Richemont is doing? I think its Cartier internally, but they're allowing you to do the Van Cleef, if you could just explain that. Thank you.
Jean Madar: I don't have all the answers, but let me try. So for Van Cleef, we will be looking at a tighter distribution, a smaller distribution, so we will continue to sell to a very, very selective -- to very selective accounts. The goal to grow the business will be to sell more in these stores. So we're going to build more fixtures. We're going to take more space at department stores. And this is how we're going to grow the business. It's a strategy that is working. As you know, we are not talking about just perfume; we're talking about old perfumery, high perfumery, high price points. People do not want to see this products in too many points of sales. That's why we are keeping it exclusive. Our relationship with Richemont is excellent. As you know, we have -- with Richemont, we have Montblanc, which is one of our largest brands in our portfolio, and we have Van Cleef. I think it's a good sign that they resigned this license that was up for renewal at the end of the year. Richemont has licenses and also handled directly the fragrance of Cartier, but they own Chloé and Chloé is under license with Coty. They own Montblanc and Van Cleef and the license with Interparfums. They have also Cartier and they are doing it themselves. I think that they are comfortable with this multi-type of relationship. But again, I repeat, our relationship with Richemont is excellent. Michel, you want to add something?
Michel Atwood: No, no. I think you built, so yes.
Linda Bolton-Weiser: Great. Can I also ask, it seems like this year is a little bit more a year of like extensions of brands and things like that. Do you have more major launches like new pillars and self-plan for 2025?
Jean Madar: Yes. In 2025, we'll have more launches than this year for sure. But this year, we have been able to introduce a blockbuster for Lacoste, which was not easy just after one year of signing the contract, we will have a major launch for Jimmy Choo, but that's true that 2025 will have more blockbusters than this year.
Linda Bolton-Weiser: Okay. Thanks. That's all from me. Take care.
Jean Madar: Thank you.
Michel Atwood: Yes.
Operator: Our next question is from Ashley Helgans with Jefferies. Please proceed.
Ashley Helgans: Thank you for taking our question, and congrats on the nice quarter. So just to start, fragrance has remained very strong, like in the U.S., up 12% year-to-date. Maybe you can just talk about some of the underlying drivers and then just how sales trends tracked throughout the quarter by month? And then I just have one more, too. We continue to see many travel size products to kind of outpace the traditional fragrance market. In your view, is this that a sign of a trade down? Or is this just more of a signal that consumers are looking to engage with prestige fragrance. Thanks.
Jean Madar: Michel, you want to start?
Michel Atwood: Yes. Hi Ashley, yes, the market got off to a very, very strong start in the U.S. and was growing very, very high double-digits in the first half -- the first quarter. We've seen some slowdown. The market, I think, was only up, if I recall correctly, around up about 7% to 8% in June. So we are starting to see a little bit of a slowdown in that growth. It's been a little erratic. There have been months where it goes up higher and then months where it's a little bit slower. But clearly, we are hearing as we are hearing a bit of a slowdown. This being said, a lot of the retailers have been very bullish going into the holiday season. And as I was saying before, the orders that are coming in have been very, very strong. So overall, we're feeling comfortable. We are selling in. We have sold in a little bit less than our sell-outs. And I think that's primarily driven by the fact that a lot of the retailers are really focusing on newness they're restricted in terms of open-to-buy dollars. And given our pace of innovation has wasn't as strong this year as last year. We've had a tendency to probably order a little bit less. But we know that once the consumer starts to buy, the retailers will also start to buy. So we're not really concerned. And again, I think our strong month of July is a good sign of that. Regarding the small sizes, we're not really seeing, I think, any trade down. I think small -- what we're seeing is certainly a lot more people interested in the category with penetration rising. And I think when people want to try a fragrance; they'll maybe start with a small size before moving up to a larger size. So I don't think this is a trade-down strategy. This just might be more of a sampling strategy. So we're not really, really concerned. And again, the market continues to be very, very healthy. Jean?
Jean Madar: Yes. I totally agree. I will not call this a slowdown. I will call it more of landing or soft landing; we still see a lot, a lot of interest from consumer. And I think that if we are able to attract and to keep this customer with interesting products, interesting smell, they will respond very well. So of course, we saw some extraordinary numbers after COVID things that the industry has not seen for years and years. But I see the interest. I see the momentum still here. So maybe the numbers will be a high-single or mid-single whether. But we think that there is still a huge opportunity because the customer is here and willing to try. Talking about try, I think that the small size are great sampling. We participate in a lot of programs of small size and it works. It works well. People come back, they like it and they have a big size.
Operator: Our next question is from Korinne Wolfmeyer with Piper Sandler. Please proceed.
Korinne Wolfmeyer: Hey good morning, team. Thanks for taking the question and congrats on the quarter. I'd like to touch on your expectations for the back half in terms of the top-line cadence. It sounds like a lot of the growth has been and will be driven by innovation and new product launches. And historically, I think a lot of us have been misaligned with our modeling in terms of those new launches. So could you walk us through how we should be thinking about the cadence over the back half? And then, also as you look toward 2025, what kind of comp dynamics should we be aware of given the launch timeline? Thank you.
Michel Atwood: Yes. Thanks. Thanks, Korinne for your question. I mean, at this point in time, we're looking for, I would say, a pretty balanced growth between quarter three and quarter four, maybe a little bit more in quarter three than quarter four. But broadly, we're looking for mid-single-digits for the second half and it should be pretty equally balanced. For next year, I mean, if you look at our growth this year, I mean you can pretty clearly see that a big chunk of our growth has come from the new brands. Lacoste and Cavalli, not to say that the other brands haven't performed well, but they have slowed down a little bit relative to the others, as we focus more attention on Lacoste and Cavalli. But at this point in time, we are expecting mid-single-digit probably for next year on our core brands. Jean?
Korinne Wolfmeyer: Very helpful. Thank you. And then could you --
Jean Madar: Yes, yes, mid-single-digits for the core business. Of course, Lacoste and Cavalli will grow much faster because we are only at the beginning. This is what we think we can expect going forward.
Korinne Wolfmeyer: Great. That's very helpful. Thank you. And then on the A&P spend and the SG&A for the remainder of the year, any color you can provide on Q3 versus Q4? And then how you're thinking about that spend shaking out over the longer-term, if there's any change in your spending intentions going forward? Thank you.
Michel Atwood: So I mean I think as we've clearly called out in the past, we have been spending significantly more in the fourth quarter and spending less. We are planning to spend -- continue to spend more than prior year in the fourth -- in the third quarter. Similar to what you've seen in the first half, I think we're up about 28% in the -- on a year-to-date basis, and we'll probably continue at that pace in the third quarter. And then fourth quarter will probably be flat with versus prior year in dollars.
Operator: Our next question is from Hamed Khorsand with BWS Financial. Please proceed.
Hamed Khorsand: Yes. Hi. First question I had was on the ad spending, what's a good timeline to recognize that this new structure spending equally or almost equally per quarter is working versus your historical ad spending?
Jean Madar: I think it's quite fast. We see it already. We are spending more evenly than before. So this helps the sell-through. And that's why, like Michel said, our sell-out was stronger than our sales team for the first six months of the year. Michel?
Michel Atwood: Yes. I mean at the end of the day, there's a lot of different pieces that come into play here to drive the ROI. There is also the pace of innovation. As you know, our pace of innovation has been a little slower in the first half. And I think that it is our A&P investments that have actually enabled us to continue to grow the business. So I think definitely, to Jean's point, the ROI is clearly there.
Hamed Khorsand: And my other question is that you already own the Rochas brand and have been selling it and now you're in with your own different brand altogether. How are the two different? And what have you learned from there that you're applying differently to this new brand line that you think will work better?
Michel Atwood: You want me to take that, Jean?
Jean Madar: Yes.
Michel Atwood: Yes. And then you can chime in. I think it's a very different model. I mean if you look at Rochas, Rochas is a brand we acquired. It's primarily focused on -- focused in France and in Spain, that's where the bulk of the business is. And it's more of a prestige brand. The Solférino brand will be more of a high-end luxury brand, and it's designed to actually compete against the niche fragrances in this category. Of course, we're going to be bringing all of our scale and knowledge of the fragrance category, the power of our distribution, which should enable us to build up distribution more rapidly than somebody that's entering this category on their own. And ultimately, it's really a very different business model.
Jean Madar: Yes. I would like to add that the thing that Rochas and Solférino in common is that we are not paying royalty. We are not paying royalty on sales. So we can reinvest more into A&P. Royalties typically are 8% to 9%. So we have an extra 8% to 9%. So this is another budget, an extra budget that we have to position this product in the store. And this is quite helpful.
Hamed Khorsand: Great. And my last question was going to be, is there any risk here to future licensing deals not going your way because you have the Solférino brand?
Jean Madar: I don't think so. Solférino is an initiative that the company took because we saw the need, especially in Asia for the brands that are less commercial, that has less name recognition where inside of the bottle, what we put in the bottle is more important than the name. It's in reaction to a demand of products that are not commercial. So I don't think our licensors will be unhappy if we are successful. It's a different -- I don't want to say it's a different model, but we do not compete with Solférino, we do not compete with any of our designer or fashion houses.
Michel Atwood: Yes. And I would also add, I mean, all of our competitors have entered this segment. Coty has recently launched their own brand. And L'Oreal Pooch have made --
Jean Madar: Estée Lauder.
Michel Atwood: While Estée Lauder is primarily exclusively in the segment. But yes, I mean, all of our competitors have entered the segments and are playing in this segment and it's not really a concern.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Michel Atwood for closing remarks.
Michel Atwood: All right. Well, thank you again all for joining our call today. Before I end the call, I'd like to just announce a few upcoming events. In September, I will be joining Piper Sandler in Nashville and Wells Fargo in Dana Point. If you're interested in attending these events, please reach out to their respective sales representatives. We'll also be hosting our Annual Shareholder Meeting here in New York at our offices on September 17. If you have any additional questions or interest in joining us for our Annual Shareholder Meeting, please contact Karin Daly from the Equity Group, our Investor Relations Representative. Her telephone number and e-mail address can be found in our most recent earnings release. We look forward to the next conference call. Thank you, and have a good day and a great summer.
Jean Madar: Thank you, everyone.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time and thank you for your participation.
Michel Atwood: Thank you.